Operator: Ladies and gentlemen, thank you for standing by. Welcome to the W&T Offshore First Quarter 2020 Conference Call. During today's call, all parties will be in a listen-only mode. Following the company's prepared comments, the call will be open for questions and answers. [Operator Instructions] This conference is being recorded and a replay will be made available on the company's website following the call.  At this time I would like to turn the conference call over to Al Petrie, Investor Relations Coordinator. Sir, you may begin.
Al Petrie: Thank you, operator. On behalf of the management team, I would like to welcome all of you to today's conference call to review W&T Offshore's first quarter 2020 financial and operational results. Before we begin, I would like to remind you that our comments may include forward-looking statements. It should be noted that a variety of factors could cause W&T's actual results to differ materially from the anticipated results or expectations expressed in these forward-looking statements. Today's call may also contain certain non-GAAP financial measures. Please refer to the first quarter 2020 earnings release that we released yesterday for a disclosure on forward-looking statements and reconciliations of non-GAAP measures. At this time, I would like to turn the call over to Tracy Krohn, W&T's Chairman and CEO.
Tracy Krohn: Thanks Al. Good morning everyone, and thank you for joining us for our first quarter 2020 conference call. With me today are Janet Yang, our Executive Vice President and Chief Financial Officer; William Williford, our Executive Vice President and General Manager Gulf of Mexico; Steve Schroeder, our Chief Technical Officer; and Jim Hersch, our Vice President Geosciences. They are all available to answer questions later during the call. Over the last several months the global COVID-19 pandemic coupled with supply and demand imbalances, have certainly created an environment of uncertainty across the oil sector. We've reacted decisively to those conditions by significantly reducing our capital expenditure budget for the remainder of 2020, lowering our lease operating expenses without compromising safety or operational capabilities, and temporarily shutting in some lower margin operated and non-operated oil weighted properties. As always, we remain committed to the health and safety of our employees and contractors. At our corporate offices, we implemented a mandatory work from home policy in March, and only recently reopened our corporate office. Despite being back in the office, we continue to monitor the situation and will follow the advice of government and health leaders. For our field operations, we instituted screening of all personnel prior to entry to heliports and shorebases, as well as our two gas plants in Alabama. We're conducting daily temperature screenings and implemented procedures for distancing and hygiene at our field locations. We're very pleased that thus far none of our onshore or offshore employees have tested positive for COVID-19. For nearly 40 years, we've been able to persevere through multiple pricing cycles because our focus and strategy has always been to maximize cash flow and constantly improve the profitability of our assets at any commodity price. We expect to continue to find value in acquisitions, especially those that provide a solid foundation for our ability to generate free cash flow, even in the current pricing environment. We built W&T through the right combination of attractive property acquisitions, methodical integration, and exploitation of those acquisitions, and successful development and exploratory drilling on our legacy fields. With the [well time] Mobile Bay acquisition in 2019, our production mix is shifted, and we now produce significantly greater volumes of natural gas. We expect to experience less of an impact from the energy downturn than many of our peers, since natural gas has not been impacted by the same market forces as crude oil and believe we could benefit from higher natural gas prices as associated natural gas production from oil wells decreases. So turning to our first quarter results, we're pleased with our performance. We've integrated our acquired assets at Mobile Bay and at Magnolia. And that's after closing the acquisition of the remaining 25% of that deepwater field. Maintained a high level of production and continued generating strong adjusted EBITDA and cash flow. Our costs all came in within or below the guidance we gave for the first quarter. Adjusted EBITDA was $62.1 million, despite a weaker pricing environment while we invested $9.5 million in 2020 CapEx and $24 million in costs related to the 2019 capital program, excluding acquisitions. This is very important because on a cash basis, we continued to create significant value by generating nearly $30 million more of adjusted EBITDA versus our CapEx, which enabled us to reduce long-term debt at a substantial discount. One of the pillars of our success is our ability to generate positive cash flow. In the first quarter of 2020, our production average 53,553 barrels of oil equivalent per day, or 4.9 million barrels of oil equivalent. That was up 61% compared with the first quarter of 2019, and up slightly compared to the fourth quarter of 2019. This was near the high-end of our first quarter guidance range, included a full three months of production from both the Mobile Bay acquisition and the initial 75% interest acquired in the Magnolia Field in 2019. Total liquids production comprised 48% of production in the first quarter of 2020. So, in late April, we announced that we had temporarily shut-in approximately 3,300 barrels of oil equivalent per day of net production and selected oil-weighted fields operated by us and also received notice of production curtailments from third party operators totaling approximately 3,400 barrels of oil equivalent per day net to W&T. Recently about 2,900 Boe per day of those third party shut-in volumes were returned to production and we continue to monitor the market to determine the appropriate time to return our operated production curtailments to production. In addition, we temporarily shut-in a portion of our production due to tropical storm crystal ball with an estimated net impact of about 110,000 net barrels oil equivalent of deferred production in the second quarter. We did not experience any material damage to our facilities due to the storm. As a reminder, we have withdrawn our production and cost guidance for the balance of 2020 due to the combination of ongoing uncertainty in commodity markets, production curtailments, and proactive efforts to continually reduce costs in this lower price environment. We intend to again provide guidance once we have greater visibility where markets are headed. So, for the first quarter of 2020, our average realized sales price per barrel of oil equivalent declined about 20% compared with the fourth quarter, with declines in pricing for oil, NGLS, and natural gas. Our average realized crude oil sales price was $46.33 per barrel, which once again compared favorably with average WTI pricing of $45.34 per barrel during the period. Our NGL sales price was $13.03 per barrel, and our natural gas price was $1.91 per Mcf.  Revenues for the first quarter decreased quarter-over-quarter by 18% to $124.1 million. The decrease was driven by lower realized pricing despite the slight increase in sales volumes. Our first quarter LOE came in at $54.8 million, which was within guidance, but higher than both the first and fourth quarters in 2019 due to additional operating costs associated with our two recent acquisitions. Since the sharp downturn in prices in the first quarter, we've developed even more ways to reduce our LOE costs. This includes actions such as reducing our contract labor costs, reducing transportation costs by consolidation of transit to offshore locations, and working with our suppliers to achieve cost savings and maintenance workover in facility expenses. We will not reduce our commitment to safety, operational compliance or environmental protection with any of these actions. In total, we expect to reduce our LOE by about 15% to 25% from prior levels. We'll give you more details on the results of these efforts during our second quarter call. Our G&A expense in the first quarter 2020 was $14 million, which was well below our guidance of 15.5 million to 17 million. The decline from 17.6 million in G&A in the first quarter of 2019 was due primarily to higher fourth quarter 2019 accrual adjustments for incentive compensation and lower legal costs during the first quarter of 2020. We continue to look at how we can further reduce our G&A costs. We reported net income in first quarter 2020 of $66 million or $0.46 per share, which included $52.5 million in unrealized commodity derivative gain and 18.5 million non-cash gain associated with the debt reduction transaction. Our adjusted net income was $5.8 million or $0.04 per share. So another way that we've responded to this current environment is by using some of our free cash flow to repurchase a portion of our outstanding 9.75% Senior Second Lien Notes. In the first quarter, we repurchased 27.5 million in principal of our outstanding notes for $8.5 million, which led to the non-cash gain. Thus far in the second quarter of 2020 we've repurchased an additional $45.1 million of those same notes for $15.3 million. That's about 72.5 million of long-term debt that we've repurchased year-to-date for just under $24 million, which has reduced our annualized interest expense by over $7 million. We believe that this was a very good use of free cash will help place W&T on an even better financial footing moving forward. W&T’s Bank Group recently completed its regularly scheduled spring borrowing base re-determination. The borrowing base was set by the Bank Group at $215 million, down modestly from $250 million. Additionally, the amended agreement provides for the suspension of the total leverage covenant and the addition of a First Lien covenant of 2.00 to 1.00 through year-end 2021. Additional details can be found in our 10-Q. The next regularly scheduled redetermination is in the fall of 2020. Additionally, we have added several oil and natural gas hedges since our last call and a detailed schedule is in yesterday's release. So after all these actions so far this year as of June 17, 2020, our total liquidity stood at $156 million, comprised of about 27 million in cash and 129 million in availability under our revolving credit facility. Our long-term debt remaining on our senior notes has declined to $552.5 million from $625 million. We believe we continue to have a strong balance sheet and have more than sufficient liquidity to meet our needs going forward and to continue to look at good opportunities that may arise in this downturn. Turning now to operations, we successfully drilled one well in the first quarter of 2020 at East Cameron 338/349, but decided to suspend all other drilling activity due to the current uncertain pricing environment. We remain confident in our extensive inventory of high quality prospects, and we're encouraged by the recent improvement in crude oil prices and the outlook for natural gas price improvements this winter. With that said, we remained focused on cash flow generation in the near and long-term, and we will continue to evaluate when it is best for W&T to resume drilling, but at this time, we have no active drilling in completions and operations. In the first quarter, the total well in the East Cameron 338/349 field was successfully drilled in over 290 feet of water and to a total depth of over 6,000 feet. We encountered approximately 100 feet of net oil pay and currently own a 20% interest in the Cota well, which will increase to 38.4% once the well is bought online and performance thresholds are met. The initial production is planned for the first half of 2021 subject to the commodity price environment and the completion of certain infrastructure projects. So, during the first quarter we performed one well re-completion and four workovers that resulted in an additional 700 net Boe per day. As we previously announced, W&T was the apparent high bidder on two blocks in the Gulf of Mexico lease sale 254 held by the BOEM on March 18, which included one deepwater block and one shallow water block. These two blocks cover a total of approximately 10,760 acres and if awarded, we will pay approximately $700,000 for 100% working interest in the awarded leases combined. So in closing, we remain optimistic about the future for W&T. We have a premier portfolio of both shallow water and deep water properties in the Gulf of Mexico, with low decline rates and significant upside. The proactive actions that we have undertaken this year to reduce CapEx and LOE coupled with our strong hedge book offering downside protection on commodity prices should allow us to continue to generate strong cash flow, even in a lower pricing environment. We remain opportunistic in this environment, and we'll look for ways that we can add value to W&T as we have done thus far in 2020, reducing LOE costs and closely managing our capital spending. We remain focused on operating efficiently and executing our long-term strategy, while maintaining our strong balance sheet to maximize shareholder value. Our management teams’ interests are highly aligned with those of our shareholders, given our 34% stake in W&T’s equity, which is one of the highest of any public E&P company. This alignment of interest ensures that we're truly incentivized to maximize shareholder value and mitigate risk. Shareholders should expect to see more acquisitions in the future as well. With that operator, we can open up the lines for questions.
Operator: [Operator Instructions] And our first question today comes from John White from ROTH Capital. Please go ahead with your question.
John White: Good morning and thank you. Congratulations on the good results, Tracy. You certainly know the playbook during a downturn.
Tracy Krohn: Thanks, John.
John White: I thought buying back Second Lien was very opportunistic and a very good move. You mentioned, I believe you said, with regard to further 2020 activity, no new wells are planning to be [indiscernible] but just wanted to confirm that. And so I take it that means most activity is going to be continued re-completions and workovers?
Tracy Krohn: Yeah, I think that's the way we see it right now. Of course, if prices creep on up, and then we'll open up the pocketbook a little bit and be able to get some more work done with the drill bit.
John White: And you mentioned more, to expect more acquisitions in the future, how would you describe [indiscernible] landscape in the gulf given the current environment?
Tracy Krohn: Well, I think there's a lot of opportunity there. Most of the companies that have had problems are going to get eliminated or absorbed. The ones that don't are going to continue to succeed.
John White: Okay, well, thanks very much. I'll pass it along.
Tracy Krohn: Thank you, sir.
Operator: Our next question comes from Richard Tullis from Capital One Securities. Please go ahead with your question.
Richard Tullis: Hey, thanks. Good morning, everyone.
Tracy Krohn: Hi, Richard.
Richard Tullis: Tracy, I know you withdrew guidance for the full-year and just had a couple of comments with the last caller on activity, but what do you think it takes to kind of get back to even, you know, moderate growth mode, say in the second half of the year and into 2021, which sort of oil price would you be looking at in combination of service costs reductions?
Tracy Krohn: Well that’s a fairly complex question, Richard. It's got many moving parts to it. If I was going to guess a price, I’d tell you something around 50, it would make us feel pretty comfortable. We recognize that service companies have had their issues as well. Everybody is struggling with personnel and the pandemic of course, but I do think that the futures is pretty good long-term. And that's what we're looking at. We realize that there's some things that need to happen in this basin to make it better for everyone. So, we're waiting to see what pricing is going to do. That's the biggest driver. I wish I could tell you that it isn't, but it is. I think we're adequately hedged at this point or close to it. So, I'm confident that we can withstand just about anything. Of course every time I say that something else nasty happens. So, I guess I probably ought to stop saying that, but I think we're pretty well protected at this point.
Richard Tullis: Yeah, thank you for that. That's helpful. And then from a follow up, Tracy or Janet, what is the corporate decline rate at this point given the, you know, the reduction in CapEx?
Tracy Krohn: Corporate decline rate, I'm not sure I understand that term. Do you mean the production decline rate or the corporate – I don't know what the corporate decline rate is.
Richard Tullis: Yeah. For the [higher company's] production base.
Tracy Krohn: The [RP is about] 10.
Richard Tullis: Okay. Okay, Tracy, thank you.
Tracy Krohn: Yes, sir.
Operator: Our next question comes from Mike Scialla from Stifel. Please go ahead with your question.
Mike Scialla: Hi, good morning, everybody. Tracy you mentioned, you'd like to see something [around 15] before you got active with dealing with a drill bit, wondering kind of along the same lines, what kind of price or can you put in a price on what you'd need to see before you bring the shut-in volumes back online?
Tracy Krohn: Well actually we're starting to bring those shut-in volumes back online now. So, that should give you some encouragement. Some of them, a couple of these fields that were near end of life anyway, and we're just kind of hanging on. Those probably won't be coming back online. So, I think we'll get up fairly quickly with the production of the stuff that was brought online that is not just anemic.
Mike Scialla: Okay, good. And want to get your thoughts on, you use free cash flow, obviously very opportunistic, as was pointed out on paying down the Second Lien, looking forward, would that be the preference or how do you balance that between paying down the revolver since now you have the covenant is just focused on First Lien debt, and also any restrictions on paying down either of those two?
Tracy Krohn: Well actually the latter part of your questions there is more conducive to what we're likely to do. We don't have the First Lien capability of going out and spending more money to buy debt. Apparently the RBL’s don't like you buying debt from other people and putting theirs at risk. So, that is the covenant with regard to buying more Second Lien debt.
Mike Scialla: Very good, thank you.
Tracy Krohn: Yes sir. Thank you.
Operator: Our next question comes from Patrick Fitzgerald from Baird. Please go ahead with your question.
Patrick Fitzgerald: Hi guys. I echo the sentiment on the debt repurchase. Well done. So, a lot of my questions have been asked, but I wanted to ask, I guess, Janet, working capital for the remainder of the year you – that was a nice source of cash this quarter. How do you expect that to unfold for the remainder of 2020?
Janet Yang: I think with activity going down, I don't expect it to be – we don’t expect, I mean, generally speaking, we’re forecasting out, we're not – we're not forecast – we take a conservative stance on it, but yeah, but I think working capital should be okay, be relatively flat for the rest of the year. I think lot of pressure is on the [indiscernible] first, kind of second quarters.
Patrick Fitzgerald: Okay. And then on your [plug-in abandonment], the current portion of that on the balance sheet declined from [22 to 3], is that just a timing issue? And if you could talk about how you see that unfolding in 2020 and I guess, any further than that would be helpful? Thank you.
Janet Yang: It is a timing issue. You know, I think Tracy can comment on that a little bit more as well.
Tracy Krohn: Yeah, there's no overwhelming obligation to do the ARO work as we've forecasted it so far for the rest of the year.
Patrick Fitzgerald: Okay. Alright. Thanks a lot.
Tracy Krohn: Thank you, sir.
Operator: Our next question comes from Ray Deacon from Petro Lotus Analytics. Please go ahead with your question.
Ray Deacon: Yeah. Hey, good morning, Tracy.
Tracy Krohn: Hey, Ray. How are you?
Ray Deacon: Good, good. Thanks. I was wondering how the three and a half years roughly payout on re-purchasing debt compares to the re-completions that you're planning to do this year in terms of what kind of return you're getting?
Tracy Krohn: Ah, you finally asked the right question. How does it compare to other things that we might want to do? Very good, Ray. Yeah, yeah, now you got it. Yeah, do we buy more debt back or do we go out and try to make more money doing acquisitions and drilling wells? That's really the, the eternal question for us, right. So that's exactly how we're looking at it. You got it. What makes more sense and it's a pretty perfunctory function when you get to the bottom of it, what is more profitable. So, it's really, it's really fairly, it was a fairly easy give to say, all right, well,, we're not going to buy back any more debt. We're going to go ahead and do more work. So, we're approaching that kind of marginality with that decision, which way do you go. So, you know, as the price goes up the decision gets real easy.
Ray Deacon: And then just, look, what's the update on the JV? I think you've drilled nine out of 14 wells was the last number I'd seen. Is that kind of the first thing you go after once you get back to drilling?
Tracy Krohn: Yes.
Ray Deacon: Great. Thank you.
Operator: Our next question comes from Neal Dingmann from SunTrust. Please go ahead with your question.
Neal Dingmann: Good morning Mr. Krohn and team.
Tracy Krohn: Hi Neal, how are you?
Neal Dingmann: Good, good. My first question that, just build it on what Ray was saying, Tracy, I like the acquisition that you, I guess you closed in early March where you did the purchase sale agreement to acquire that 25% remaining work in interest, to me that always seems to be the most economical when you can continue to do that. You know, again, do you have other opportunities to add work and interests like that? I mean, to me, obviously, you don't have to use any more, you know, expenses to do so and always seem to be the most economic. So, just wondering if you have more opportunities like that in the portfolio?
Tracy Krohn: Let me see if I can explain this very concisely. You can bet your [indiscernible] on it. Okay.
Neal Dingmann: Could be concise.
Tracy Krohn: Okay.
Neal Dingmann: Very, very good, and then just my follow up to that would be just, you know, given what we see now in this environment, you know, we've certainly seen onshore prices on services come down. Could you just talk color on you know, now when you go back to work, what you're seeing in prices today versus even six or 12 months ago?
Tracy Krohn: Yeah. You know, I commented on this last year when people were telling me that the prices were going up, oil was [$60 something a barrel] and service costs were going up. And I always thought that was seasonal. And sure enough, it was not only seasonal. Unfortunately, prices began to drop as well. So, activity went down. So, there's certainly a point at which you can't go any lower because your suppliers just can't get their costs down any further. So, we don't want to see that happen. We want people to be able to operate at a profit. On the other hand, the hard part for us is, is making sure that we have access to quality personnel and equipment and I think we're pretty close to that margin right now. So, it's got to be some sort of rebalancing going along and it really has more. The biggest impact is transportation, boats and helicopters. And you know insurance and then personnel.
Neal Dingmann: Got it. Got it. Very good. Thanks and nice cash flow.
Tracy Krohn: Sure. Thank you.
Operator: [Operator Instructions] Our next question comes from Dustin Tillman from Wells Fargo. Please go ahead with your question.
Dustin Tillman: Hi, thanks for taking the call. I wanted to ask about the surety market. We've seen in some instances, some of your competitors where sureties are asking for collateral, including one scenario where the company is suing – the surety is suing the company. What do you see as the health of the surety market? Any changes that are happening there as some of your competitors are under pressure?
Tracy Krohn: Well, again, without knowing the specifics, it's hard for me to answer that. We haven't experienced any issues with our sureties. In fact, the experience has been quite the opposite. The company is in good shape. We're meeting all of our obligations, and we'll be able to do so, hopefully, for the rest of my lifetime. So, I don't really see any angst among the sureties. Markets go up and down, rates go up and down a little bit depending upon how the markets are, but other than that we're not experiencing any anxiety at all.
Dustin Tillman: So, they're not asking. There's no calls for collateral from the sureties?
Tracy Krohn: No sir.
Dustin Tillman: Okay, great. And I wanted to follow up on one of the previous questions that was asked about P&A obligations and maybe for, you could just help us better understand, usually thinking about shutting in wells, and having – you talked about some production that won't come back online. Most people would expect that that would result in more near-term P&A spend. And it sounds like you're saying that you have the ability to push some of that off. So can you just explain or help us understand the timeframe of when that P&A work would have to be done?
Tracy Krohn: Now, generally, after you cease production, you're required to plug in abandonment within a year. So, I'm sorry, excuse me, 18 months. So yeah, so there are at least 18 months down the line. Clearly, if you go out and you put a field back online, you got to go out and make these visits every once a while anyway. So, if prices get up high enough, you put them back online, and then you defer it for yet another 18 months, but we're at least 18 months or close to that away from having to do any of those abandonments on those marginal fields.
Dustin Tillman: Okay, and that's why the current P&A liability was reduced, because the view is that can be delayed.
Tracy Krohn: That's correct.
Dustin Tillman: Thank you very much.
Tracy Krohn: Yes, sir. Thank you.
Operator: And ladies and gentlemen, at this time I’m showing no additional questions. We'll end today's question-and-answer session. I'd like to turn the conference call back over to Tracy Krohn for any closing remarks.
Tracy Krohn: Well, thanks for listening everyone. We appreciate it and we'll have another conversation next quarter, if not soon. Thanks so much. Goodbye.
Operator: Ladies and gentlemen, the conference has now concluded. We do thank you for attending today's presentation. You may now disconnect your lines.